Company Representatives: Joel Agree - President, Chief Executive Officer and Director Simon Leopold - Chief Financial Officer
Operator: Good morning, and welcome to the Agree Realty, First Quarter 2021 Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Simon Leopold, Chief Financial Officer. Please go ahead Simon.
Simon Leopold: Good morning, everyone, and thank you for joining us for Agree Realty's first quarter 2021 earnings call. Before we begin, I’d like to thank Joey and the Board for the opportunity to join ADC and the outstanding team that they’ve assembled. I’m very excited to build upon the long track record of success here at Agree and I look forward to contributing to the company's next phase of growth, while maximizing value for our stakeholders. Before turning the call over to Joey to discuss our results for the quarter, let me first run through the cautionary language.  Please note that during this call we will make certain statements that may be considered forward-looking under federal securities law. Our actual results may differ significantly from the matters discussed in any forward-looking statements for a number of reasons, including uncertainty related to the scope; severity and duration of the COVID-19 pandemic; the actions taken to contain the pandemic or mitigate its impact; and the direct and indirect economic effects of the pandemic and containment measures on us and on our tenants.  Please see yesterday's earnings release and our SEC filings, including our latest Annual Report on Form 10-K and subsequent reports for a discussion of various risks and uncertainties underlying our forward-looking statements.  In addition, we discussed non-GAAP financial measures including core funds from operations or core FFO; adjusted funds from operations or AFFO; and net debt to recurring EBITDA. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures can be found in our earnings release, website and SEC filings. I’ll now turn the call over to Joey.
Joel Agree: Thank you, Simon, and welcome aboard. Good morning everybody. I'm pleased to report that ADC 3.0 is officially under way. Our focus on people, processes and systems, combined with the unique and unprecedented opportunity in the market place has accelerated the trajectory of our company in every respect. Our increase in guidance reflects the success we are seeing on the acquisition front, while externally these results speak to our present and future capabilities, what is less visible is the platform infrastructure that we have constructed that powers the ADC engine.  The launch of ARC, our proprietary technology platform is the culmination of our multi-year effort. What started as an idea and a static spreadsheet has now materialized into a powerful and dynamic tool for our growing company. At the core of our decision making is real time data. ARC enables and informs everything from relationship management through its CRM tool, our asset level underwriting, portfolio construction, be it vast modeling and planning capabilities, as well as its asset management through its Work Order Management System.  These tools have enabled our team to execute quickly and decisively and opportunities to aggregate and access data, establish key performance indicators, measure our performance, streamline and provide clarity to team members and pro-actively manage our growing team. We are very excited to demonstrate ARCs capability in the very near future.  In addition to the technology that we have deployed, the leadership and board additions match the opportunity we see in front of us. This is not a company that sits still, but we intend to continue to rise to the occasion and take advantage of our distinctive market positioning.  Moving now to our results, during the first quarter we invested approximately $391 million in 90 high quality retail net lease properties across our three external growth platforms. 86 of these properties were originated through our acquisition platform, representing acquisition volume of almost $387 million.  While achieving a number of very strong quarter of acquisition volume during these uncertain times, we maintained our disciplined focused on best-in-class opportunities with leading retail partners. This was clearly demonstrated by a record 32% of first quarter acquisition volume being comprised of ground leases and more than 72% of first quarter volume being derived from investment grade retailers.  The 86 properties acquired during the first quarter leased 46 tenants operating in 20 distinct sectors, including best-in-class operators in the off-price, consumer electronics, auto parts, general merchandise, convenience store, grocery and tire and auto service sectors. The acquired properties had a weighted average cap rate of 6.3% and had a weighted average lease term of 12.9 years.  We executed on several notable transactions during the quarter, including our first two Amazon Fresh grocery stores located in Westmont and Bloomingdale, Illinois. We are very pleased about the opportunity to add Amazon as a top 50 tenant within our portfolio and look forward to additional opportunities to grow our relationship with them.  Additionally, we acquired a unique portfolio of 10 CVSstores, all which recently signed brand new 20 year net leases at below market rents of just over $14 per square foot on a weighted average basis. Even with this portfolio acquisition, our pharmacy exposure is still down nearly 110 basis points year-over-year, driven by portfolio growth and the opportunity disposition of Walgreens assets. With this transaction, CVS has surpassed Walgreens as our largest pharmacy tenant; quite an accomplishment for a former Walgreen developer that at one time had nearly 40% exposure to Walgreens. By year end I anticipate our exposure to Walgreens to drop to at or below 1.5% of our total portfolio.  The pharmacies that we've added in recent years including this portfolio and the long term CVS in Downtown Greenwich, Connecticut, reflect unique opportunities to acquire high performing CVS stores with duration and residual values that are difficult to find in the pharmacy space. As I discussed in recent calls, we continue to favor CVS as the sector leader, given their innovation and adaptation to consumer preferences, and overall market dynamics in the pharmacy space. The acquisition of Aetna in 2018, the rollout of the MinuteClinic and now their HealthHub concepts continue to demonstrate thoughtful leadership.  During the quarter we also added our first REI store located at a major retail thoroughfare at east Hanover,New Jersey. With median household incomes of $150,000 and a daytime population of 165,000 within a five mile radius, this store is positioned for long term success.  Our focus on building the highest quality retail portfolio is further evidenced by the record number of ground leases that we acquired during this past quarter. We added 31 ground leases to our portfolio for an aggregate purchase price of $127 million, again representing almost 32% of annualized base rents acquired during the quarter.  Our overall ground lease exposure now stands at a company record of 11.4% of our total annualized base rents. Notable ground lease acquisitions during the quarter include our CarMax in Pleasant Hill, California, six Wawa convenience stores, our first discount tire, and a previously announced portfolio acquisition of 15 Ground Lease assets from Kite Realty Group.  Inclusive of our first quarter acquisition activity, our Ground Lease portfolio now derives 89% of rents from investment grade tenants and is comprised of the company's premier retailers. Our deep relationships across the industry, as well as our team’s strong track record of execution continues to deliver additional opportunities to add such properties to this expanding sub portfolio.  Given our robust acquisition activity in the first quarter, and enhanced visibility into our pipeline, we are increasing our full year 2021 acquisition guidance to a range of $1.1 billion to $1.3 billion, representing a 33% increase at the mid-point as compared to our previous annual guidance. This increase reflects the fact that we are seeing very strong opportunities to grow our portfolio, while remaining disciplined and committed to our stringent investment criteria. We continue to view retail real estate as dynamic and bifurcated into long term winners and losers and we fully intend to stay on the winning side.  At quarter end our portfolio’s investment grade exposure stood at more than 67%, representing a significant year-over-year increase of more than 750 basis points, and a two year stacked basis or investment grade exposure has improved by almost 1,500 basis points.  Moving onto our development and Partner Capital Solutions platforms, we continue to see compelling opportunities. We had four development in PCS projects that are completed or under construction during the first quarter, that represent total capital committed of more than $14 million. One of these projects was completed during the quarter, our second development with Burlington in Texarkana, Texas.  I'm pleased to announce we also commenced our first development with 7-ELEVEN during the quarter, located in Saginaw, Michigan. 7-ELEVEN will be subject to a new 15 year lease upon completion and we anticipate delivery will take place in the first quarter of 2022. Construction continued during the first quarter on two development and PCS projects with anticipated total cost of more than $8 million. The projects consist of a grocery outlet in Port Angeles, Washington, and a Gerber Collision in Buford Georgia.  Subsequent to quarter end we commenced our first development with Floor & Decor in Naples, Florida where they'll be subject to a new 15 year lease. We anticipate total cost for this project to be approximately $20 million with rent commencing by January of 2022. We remain focused on leveraging our three pronged external growth platform to expand our relationships with best-in-class retailers we look forward to updating you on progress in the quarters ahead.  Moving on to dispositions, we sold three properties for total gross proceeds of nearly $9 million during the first quarter. These dispositions were completed at a weighted average cap rate of 6.8% and included a short term Walgreen's in Big Rapids, Michigan as well as another franchise restaurant. Subsequent to quarter end, we sold our Dave & Buster's in Austin, Texas for approximately $10.5 million, representing a cap rate of 7.4%. Notably Dave & Buster's had less than four years remaining on the base term of their lease at the time of sale. This disposition is reflective of our real estate underwriting and the ability to sell this asset and IRR more than 8% in a testament to the quality of real-estate in our portfolio. This sale reduced our Dave & Buster's exposure to just two remaining locations.  During the quarter we executed new leases, extensions or options on approximately 66,000 square feet of gross leasable area. As a result of our asset management team's effort, at quarter end our lease maturities for 2021 stood at just 0.4% of annualized base rents, representing a quarter-over-quarter decrease of approximately 50 basis point and a year-over-year decrease of approximately 170 basis points.  Our 2022 lease maturities are in a very positive position as well with only 21 leases or 1.2% of ABR expiring during the course of the year. No single lease maturity exceeds $600,000 annualized base rents and represents only 0.2% of ABR.  As of March 31, our rapidly growing retail portfolio consisted of $1213 properties across 46 states, including 120 ground leases. The thoughtful and disciplined construction of our leading retail portfolio continues to be reflected in our rent collections data. Including April, we've now collected at least 99% of rent payments for eight consecutive months. During the quarter we collected more than 99% of rent payments for our portfolio while entering the deferral agreements representing less than 1% of first quarter rents.  As a reminder, our collections data includes both base rent and recurring operating cost reimbursements. In addition we include base rents and operating cost reimbursements charge for tenants in bankruptcy, and who have not made any COVID related adjustments to the denominator when making these calculations. We remain committed to providing complete and transparent data to our investors and our collections.  I'm also pleased to report that our inaugural ESG report was published in the first quarter and can be found in the investor section of our website. I look forward to continuing to engage with our stakeholders on the ESG front and excited about our future successes here.  Lastly, I'd like to take a moment to welcome Ambassador John Rakolta Jr. back to our Board of Directors. John previously served on our board from 2011 until his confirmation as United States Ambassador to United Arab Emirates since September of 2019. His leadership helped shape our company and his contributions will be invaluable as we enter the next phase of our growth.  With that, I'll hand the call over to Simon and then we can open it up for any questions. 
Simon Leopold : Thanks Joey. Starting with earnings, core funds from operations for the first quarter was $0.84 a share, a 3% year-over-year increase. Adjusted funds from operations per share for the quarter was $0.83, an increase of 2.3% year-over-year. During the past four quarters we’ve elected to treat COVID-19 rent deferrals as delinquent receivable and our FFO measures include this revenue.  As a reminder, treasury stock is included within our diluted share count prior settlement if and when ADC stock trades above the deal price of our outstanding Florida equity offerings. The aggregate dilutive of impact related to these offerings was negligible in the first quarter. Per FactSet, current analyst estimates for full year AFFO per share range from $3.39 to $3.53 per share, implying year-over-year growth of 6% to 10%. Given current visibility into our investment pipeline and the broader operating environment, we view this level of growth as achievable and expect to end the year towards the higher end of this range.  General and administrative expenses totaled $6.9 million in the first quarter, G&A expense was 8.8% of total revenue or 8.3% excluding the non-cash amortization of above and below market lease intangibles.  While we continue to invest in people and systems, our anticipation is that G&A as a percentage of total revenue will decrease approximately 100 basis points from 2020 to roughly 7% for 2021, excluding the impact of the lease intangible amortization on total revenues.  As a reminder, G&A expense for our acquisitions team fluctuates based on acquisition volume for the year, and our current anticipation for G&A expense reflects the acquisition volume within our new increased annual guidance range of $1.1 billion to $1.3 billion. Due in part to a one-time true-up of almost $500,000 related to 2020 income taxes, total income tax expense for the first quarter was approximately $1 million. For 2021 we now anticipate total income tax expense to be approximately $2.5 million.  Moving on to our capital markets activities for the quarter. As mentioned on last quarter's call, in January we completed a follow-on public offering of approximately 3.5 million shares of common stock, including the underwriters’ option to purchase additional shares, which generated net proceeds of almost $222 million.  We were also active on the ATM during the first quarter, entering into forward sale agreements to sell more than 372,000 shares of common stock at an average gross price of $68.93 for anticipated net proceeds of more than $25 million.  On March 31 we settled 578,000 shares of our – under our outstanding ATM forward offering, for net proceeds of approximately $37 million. At quarter end we had approximately 2.9 million shares outstanding under our ATM forward offerings, which in total are anticipated to raise net proceeds of approximately $190 million upon settlement.  Inclusive of the anticipated net proceeds from our outstanding forward offerings and availability under our credit facility, we have more than $450 million in available liquidity. As of March 31, our pro forma net debt to recurring EBITDA was approximately 4.2x, as our outstanding forward equity offerings continued to meaningfully reduce pro forma leverage. Excluding the impact of unsettled forward equity offerings, our net debt to recurring EBITDA was approximately 4.9x. Total debt to enterprise value at quarter end was approximately 24%, while fixed charge coverage which includes principal amortization increased to a company record 5x.  During the first quarter we announced the transition to a monthly dividend and decaled monthly cash dividends of $20.07 per share for January, February and March. The monthly dividend reflected an annualized dividend amount of $2.484 per share representing a 6.2% increase over the annualized dividend amount of $2.340 per share from the first quarter of last year.  Our payout ratios for the first quarter were a conservative 74% of core FFO per share and 75% of AFFO per share respectively. Subsequent to quarter end we declared an increase monthly cash dividend of $21.07 per share. The monthly dividend reflects an annualized dividend amount of $2.604 per share or an 8.5% increase over the annualized dividend amount of $2.40 per share from the second quarter of last year.  With that, I'd like to turn the call back over to Joey. 
Joel Agree : Thank you, Simon. Operator, at this time we’ll open it up for questions. 
Operator: We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Ki Bin Kim with Truist. Please go ahead. 
Ki Bin Kim: Thanks, good morning. Joey, can you talk about your leverage philosophy. I believe your last quoted target range is about 4x to 5x debt to EBITDA. Why is that the right range for you guys? Why not a little bit higher? You know it will be great to see that total AFFO growth translate to more AFFO per share growth and when you take into account the high quality nature of your EBITDA, 7%, best-in-grade and all that. I would think it could support a higher leverage range relatively speaking. 
Joel Agree: Yeah, good morning Ki and I think – well, I think if you look at net lease generally and our portfolio specifically in a private context, I think net lease of course you're right, it does in a private contract support significantly more leverage. What we found is running a conservative balance sheet with the liquidity and strictly the balance sheet capacity to continue to expand our business, which is growing at a clip of about 33% per annum here. It is prudent, so during the pandemic we brought our stated leverage target down from 5x to 6x to 4x to 5x.  We’ve historically been operating in that range. It really anyway increases the forward equity offering, so – you know today sitting at pro forma 4.2x, we think we're in a fantastic position to continue to execute on our pipeline near term and long term, but at the same time – but these aren’t hard and fast rules.  Tools like the forward equity offering give us the ability, right, to move leverage between that 4x and 5x and even potentially go north of the 5x. But I think as Simon mentioned in the prepared comments, you know we think we could achieve upper single digit AFFO growth here, even with a strong balance sheet that's running between 4x and 5x. So while the portfolio certainly could support higher leverage, we think it's prudent to maintain the dry powder to continue to execute on the business. Simon, you want to add anything?
Simon Leopold: Yeah, the only thing I’d add Ki Bin is that you know we – it’s really important that we continue to be able to raise capital in an efficient cost effective way, and with the leverage where it is right now we think we're clearly going to be very appealing to investors in the bond market, and that's a really important part of our overall capital strategy and we’re able to achieve the kind of AFFO growth that Joey’s talked about, that I talked about on the call at these leverage points. So it seems like the right place for us, just a comfortable balance between sort of all the stakeholders interest in the company. 
Operator: Our next question comes from Katy McConnell with Citi. Please go ahead.
Katy McConnell: Thanks, good morning everyone. Can you give us some insight into the volume of the outsourced versus close down in the quarter. Are you making any changes in your underwriting criteria or assets that you're targeting based on the new technology your using at the ARC platform? 
A - Joel Agree: Good morning, Katy. You know the first part of your question in growth, is that the specifics about what we acquired during the quarter?
Katy McConnell: Yeah, just the volume that you sourced because of this growth. 
A - Joel Agree: So I’ll tell you, we closed the vast majority of assets that we source, as long as obviously we clear diligence and received stock and the like, and so in terms of sourcing, we will continue to bat you know upper single digits, that's our business here. We've got 60%, 70% of what we actually closed on in terms of what – in terms of the new investment committee and so the team's doing a tremendous job uncovering opportunities. And so it's fair to say we will get billions of dollars in any given quarter for acquiring close to $400 million.  To the second part of your question, what arc enables is really real-time access to data and the transactional capabilities to match and then the dash-boarding capabilities that I mentioned in the prepared remarks. So it's a fantastic tool for us, both on the origination side, as well as throughout the entire real estate lifecycle of an asset, but I would anticipate our acquisition activities in coming quarters to be similar in terms of composition. We’ll continue to focus on industry leading retailers in our “sandbox.” We’ll continue to source opportunistically high quality ground lease assets and our focus will remain in investing for that omnichannel operators. 
Katy McConnell: Okay, thanks. And then now you saw the Dave & Buster's asset. What are your plans to further sell down energy and exposure and what does demand look like for this category of talent you got? 
A - Joel Agree: So the totality of our payment exposure is if you were meaning Dave & Buster's assets, the ones in downtown New Orleans, in a mixed use complex which is a very unique property for us, adjacent to the Smoothie Center and the Mercedes Benz Zone, the former dome there in New Orleans, the Superdome. So both, the totality – that’s the totality of our exposure there. So we were never overly inquisitive in the experiences / entertainment that we could begin with, and so those are the two assets we're very comfortable with.  Obviously if we get the right bid for them and we look at the opportunity to dispose of them, I think that Dave & Buster's in Austin is representative of the high quality nature of our real estate. That asset had 3.7 years of remaining term on it and we were able to achieve a mid-seven cap growth. So I think that was an optimal outcome for us there and that was an inbound which we've been talking about for a couple of quarters now. It wasn't even openly marketed. 
Katy McConnell: Okay, great. Thank you. 
A - Joel Agree: Thanks Katy.
Operator: Our next question comes from Nate Crossett with Berenberg. Please go ahead.
Nate Crossett: Hey, good morning guys. Just curious to get your comment on what the outlook for pricing looks like as far out as you can see I guess? Is there any pressure there? Have you seen any change with kind of grades backing up or what should we kind of be expecting? 
A - Joel Agree: Well, I think pricing in the high quality net lease space and some comments from some of our peers and just general market data, we see it in the lower tier in terms of quality in the net lease space continues to be attractive, and we continue to see aggressive cap rates marginally compressing. We continue here specifically to source value given our relationships, our technology now, and just the depth and breadth of our team.  But in terms of cap rates on a go forward basis, if the tenure stays in this range bound here, you know in the 1-6 range let's call it, plus or minus 20 basis points, I don't know – I truly don't see any material movement in cap rates or any upward pressure in terms of cap rate. 
Nate Crossett: Okay, that's helpful and then a record quarter for grounding just for you guys. Is there anything to call out there that's driving the increased volume there? Was it – or is it just a function of the Kite Realty Portfolio, and are there other portfolios like that, that are out there that you can get. 
Joel Agree: Well, Kite was certainly a component there, but as we talked about in the prepared remarks, we acquired a number of Wawa’s. We acquired a CarMax in California, long term ground lease in Pleasanton, California, the CarMax and we continue to view really in a superior position in the used car space given the nature and breadth and depth of the different lines of businesses and we continue to source unique opportunities like the discount tire on a one-off basis. So the Kite Portfolio certainly was a piece of it. We'll continue to look at such portfolios as they arise, but the vast majority of opportunities were clearly on a one-off basis there.
Nate Crossett: Okay, thanks there. 
A - Joel Agree: Thanks Nate. 
Operator: Our next question comes from Haendel St. Juste from Mizuho. Please go ahead.
Haendel St. Juste: Hey, good morning. 
A - Joel Agree: Good morning, Haendel. Hi!
Haendel St. Juste: Hey! So I guess we’ve seen that you know pick up here in M&A, Kimco, Weingarten and Realty Income and VEREIT the latest. I guess I'm curious on what your view on the backdrop for M&A today is here in the space and if there's any scenario that you could see ADC participating. And then also more broadly, curious what your thoughts are on the pricing, from the Realty Income and VEREIT. Thanks.
A - Joel Agree: Well, it’s certainly interesting to see public-to-public emanating in the overall retail space. I think the shopping center space potentially was a long time coming and I'm not sure if we’ve seen the remainder, all of it in totality, given just the number of operators in this space and the different pressures on the space.  And then M&A, obviously it is unique. It is transaction specific. We'll continue to look at any and all opportunities and most importantly I think the M&A we've seen in our space as well as adjacencies provides us a continued opportunity as to then what we do. You know we are – not a portfolio purchaser generally speaking; we’re not a sale leaseback purchaser generally speaking. We're focused on a very tight sandbox here of the best retailers in the country and we have you know 80 to – you know 80 plus or minus transactions going through our pipeline at any given time, at a very granular nature average price point of $4 million to $5 million.  So our competitive set continues to be private purchasers, 1031 purchasers, leverage purchasers on the asset leverage, on the asset level and so it’s a very unique opportunity for us to continue to accelerate and expand our business with an M&A backdrop there and we’ll continue to look at opportunities. I've always said, what we will never do is dilute the quality of this portfolio. We are on a March to improve what we think is already the highest quality retail portfolio in the country and we are going to continue to drive that home, no pandemic surge sales and the like and a lot of unique circumstances has made retailers outside our sandbox if you're more attracted to the near term. But as I stated in the prepared remarks, we really view retail as a K here. There’s going to be continued dynamic transformation and that's in retail. We're focused on the up-leg of that K and the winners there. 
Haendel St. Juste: Got it, thank you for that. Anything on the contractor LOI today and then as part of that, I’m thinking what’s your overall view of the exposure for the ground lease out of your business, good growth. How are you thinking about that over time? Thanks. 
A - Joel Agree: Well, I continue – the team continues to surprise me by the ability to source problem lease assets. They are you know, and I say consistently we think the best risk adjusted returns by a significant margin in retail realty.  The ground lease portfolio of 11.4% has almost doubled in size in approximately I’d say 24 months. I anticipate it to pick higher in Q2, just given the extent to the pipeline that we can see currently, with similar opportunities that we executed on Q1. And so it is a – It’s a unique aspect to our business, the team and through their efforts surprised me about their capabilities to continue to uncover those truly on a granular basis.  Where it goes from here will be a function of the team’s efforts in pricing and what makes sense qualitatively within the portfolio. So I wouldn't have predicted 11.4%; I wouldn't have predicted historically there would be north of their idea at 630, but we continue to find those opportunities. 
Haendel St. Juste: On the contractor LOI side, anything you turned up front. 
Joel Agree: Nothing specific. Our pipeline continues to be strong for Q2, hence the rays of the guidance, we’ll be getting to source for Q3 opportunities today. There are some unique transactions and they are similar to Q1. Obviously diverse geographically by sector and by tenant, but nothing overly notable or noting that we're going to call out today. 
Haendel St. Juste: Thank you. 
Joel Agree: Thanks Haendel. 
Operator: Our next question comes from Linda Tsai with Jefferies. Please go ahead.
Linda Tsai : Hi! Good morning. 
Joel Agree: Good morning. 
Linda Tsai : To reach the high end of consensus – good morning. The high end of consensus estimates, Simon I think you said 10% year-over-year growth. Does this assume $1.3 billion in transaction volume and you know what kind of assumptions does this incorporate on the equity side? 
Simon Leopold: The range was 6% to 10% and what we said was that we didn’t expect it to be toward the higher end, not necessarily all the way to 10%. But it does, it does incorporate the range of outcomes on non-acquisitions that we put out there, the 1.1 to 1.3 and look, you never know exactly where you're going to get. This is not a precise science. We are out there buying things every day. But that's what we're trying to get to.  It also does require an acceleration of the results quarter-over-quarter. So we have to call it $0.83 of AFFO in this first quarter. In order to get to that higher end of the range it does require an acceleration of results towards the back end and that's really a function of our acquisition pipeline. 
Linda Tsai : Thanks. And then Joey, in your prepared remarks you highlighted the CVS in Greenwich and then REI in east Hanover. Are you seeing more compelling opportunities come to market in higher income areas or is this part of the focus to gain higher exposure to these markets?
Joel Agree: These are just for clarity. The CVS in Greenwich was acquired I believe in 2020 or late 2019. The CVS portfolio, the [inaudible] was acquired in the first quarter.  Look, we continue to be geographically very dispersed. That is from urban to rural to street retail to ground leases, really across that spectrum as long as we are in our sandbox. So we’ve seen accelerated opportunities in the Sun Belt just given the nature of construction start down there. We’ve see accelerated opportunities in the South, but really we are opportunistic in terms of going coast to coast and north to south across the country. 
Linda Tsai : Thank you. 
Joel Agree: Thanks Linda. 
Operator: Our next question comes from Todd Stender with Wells Fargo. Please go ahead.
Todd Stender: Hi thanks. And Joey, just to kind of hone in on the CVS transaction, how big a deal was that? What was the remaining lease term before you blended and extended, maybe just some context there. I think you commented on the rent being below market. Have you any more color please. 
Joel Agree: So that transaction as I mentioned was unique. These are CVS locations in their core markets in the Midwest. Short remaining lease terms sub, roughly five years on those stores fully recasted to 20 year leases, 10 stores. It was approximately off the top of my head about $30 million.  The unique aspect of the transaction was not only the CVS as you know I mentioned in the remarks; that extended for a full 20 years. But also if you look at per square foot rental rates and aggregate rental rates across the pharmacy space, it typically ranges from $25 to $35 per square foot. Part of my challenge was pharmacy acquisitions historically, hence the dispositions of the Walgreens and their overall exposure, the reduction in overall exposure with the replacement rent on those approximate 13,000 to 14,000 square foot buildings, which typically ran from a third to half.  And so in context of this transaction, we have CVS that are paying approximately just over $14 per square foot, brand new recap, 40 year leases. CVS results by chance came out this morning again, beating the street with impressive results. And so we are fan of what CVS is doing, both transformational within their business, but also on the real estate front.  And so as I mentioned, you know Walgreens really went, really post the acquisition by Boots Alliance and hence the attempted acquisition on Rite Aid to increase the store account, while CVS went into divergent Health and Wellness aspect. They had the PBM historically, the Aetna purchase, the MinuteClinic roll out, another health clubs which are extremely impressive if anyone’s had the opportunity to see them if they continue to roll out.  It’s really a vertically integrated Health and Wellness business and so we are – we like what they are doing from a corporate perspective. We are hesitant on the front end of pharmacy; we are hesitant on the residual historically, but given the nature of the low price points, the low per square foot rental rates and the low per square purchase prices and the 20 years CVS leases, we thought this was an extremely attractive transaction. 
Todd Stender: Right, that's helpful. Thanks Joey, and then I don’t know if I missed this. What are the assets that are on top of the ground leases that you acquired from Kite, any color there? 
Joel Agree: So it was a mixed bag, and so everything from a Chipotle to I believe Bank of America, to a couple of Panera Bread locations, out laps to their existing shopping centers throughout their portfolio and it was an opportunity for us, portfolio level opportunity to increase the ground lease exposure there, and so it was a direct transaction that we thought was beneficial, obviously to both parties. 
Todd Stender: It's all single tenant stand alone, no shopping centers. 
Joel Agree: Correct, all single tenant standalone outlets, which is fairly easy for us. 
Todd Stender: Alright, thank you. 
Joel Agree: Thank you, Todd. 
Operator: Our next question comes from Peter Hermann with Baird. Please go ahead. 
Peter Hermann: Hey Joey! Thanks for taking my questions today. Can you talk about the ability to potentially close deals faster now with the new platform? Thanks. 
Joel Agree: Yeah, I mean just – I appreciate the question to talk about ARC a little bit, I’ll just take the opportunity.  So what I found a few years ago is the acceleration of the business really began to ramp. Just being the nature of an aggregate it’s difficult to project forward critical key metrics, and so Peter Coughenour our VP of Sales and I started sketching out literally on a piece of paper an idea and a concept. That idea quickly then morphed into a static spreadsheet, which required obviously significant manual input. That express sheet then became powered by an IBM, TM1 database. The IBM TM1 database then it got switched to a MySQL database to give us the real time dynamic capability and from there we customized our CRM tool that we hooked in to ARC, through MySQL database.  That initial projection tool then became a dash boarding tool for us for our acquisition team, really guided in part by Greg Lehmkuhl, the CEO of Lineage whose a fantastic Director on our Board. And who’s a lean guru and whose team trained and facilitated ours, just an operational and using visual key management tools. So every member of our acquisition asset management transaction team now has a dashboard that they can drill into all levels of data, cut, slice, dice it, display it visually, export it, do all types of really cool things. In the last few quarters, we have constructed even more additional modules, really expanding it to really the entire company. So now we have a full pipeline and database that tied into our underwriting and so it's literally a map of the country that could be drilled into, sorted and filtered by any criteria, a Work Order Management System that expands, the property level maintains, all the way to the full data aggregation here, work orders by duration, type of work order, planning tools in terms of seeing the number of work orders and where they expand across the country.  Another transaction team module is in beta; we’ll go live very shortly here. That enabled the full team to see the real time status of all transactions that our pipeline from the first contact at the CRM level, at the Customer Management Level, to the current status of the diligent. So ARC is truly the connectivity between the team and the technology we've created to harness the opportunity in a very fragmented market. It’s a key ingredient for us to continue to scale without ARC, our people and our cultural. It wouldn't be possible to execute $1.11 billion to $1.3 billion in transactions at an average purchase price of $4 million to $5 million.  So again, we have 50 to 100 transactions going through the pipeline at any given time. This system, this tool, the platform really gives us real time data on all real estate activities; it gives us the capability through its dash boarding, both team and individual to establish KPIs to measure and manage through them. So it's a powerful tool that will continue to expedite and accelerate the business here, both at the transactional level and obviously that rolls up those 300-plus or minus transactions rolls up to our result at the end of the day.
Peter Hermann: Got it. I appreciate that color. Thank you so much. 
Operator: [Operator Instructions] Our next question comes from John Massocca from Ladenburg Thalmann. Please go ahead.
John Massocca: Good morning. 
Joel Agree: Good morning, John. 
John Massocca: Could you maybe provide some color on the expected investment volume cadence this year? Its just kind of, if you look at the 1Q '21 acquisition and you back those out of guidance, it essentially calls for kind of around $300 million of investments, which would be kind of a notable decline versus 1Q. I'm just trying to figure out if that's based on your visibility into 2Q or just kind of conservatism around maybe 2H.
Joel Agree: Well, I think given just the nature of our business as a granular purchaser, it's very difficult to predict or project. I mean we truly have zero visibility into Q4, minimal visibility into Q3. We have very good visibility now into Q2. Again, I'd remind people, our average transaction is approximately 70 days from letter of intent execution to close, some longer, some shorter, just about the nature of the transaction. And so it's difficult given obviously a fluid market, a fragmented space and just the nature of our business to project forward.  Now we've come out with the initial guidance of $800 million to $1 billion in the first week of January, given what we know at the time. And our promise has always been when we know what we know, we will come out and adjust any expectations and provide that transparency to investors. So I would tell you, it's a combination of the environment; it's a combination of our business, and we just can't see the future. I wish we could. ARC does not allow us to see the future unfortunately, but that will be the next module, right Peter?
John Massocca: I mean just, as I think about maybe, I know you don't give quarter-to-quarter investment volume guidance, but if you think about the investment volume guys, if you think about the $1.1 billion to $1.3 billion, is that significantly front-end loaded based on what you see today?
Joel Agree: Well, I wouldn’t say necessarily front-end loaded. I mean we just printed Q1 at $300 million, approximately $380 million acquired, and so I think we can cut that up for the remaining three quarters. I don't anticipate Q2 to be very different in terms of assets that we're acquiring. Volume may be down or at that level. So we'll see where things close. Again, we can't predict whether something is going to close on July 27th, 28th or July 2. It won't close on July 4, because everything is closed.  But our business, the last outstanding issue generally to close an asset in our business is reliant upon the tenant to provide estoppels, and so things can cross quarters. You know we have ideas that will close this quarter and then everything can get jumbled around. ARC gives us the visibility to move things around in those corners as we have those third-party respondents, diligence, outstanding estoppels and such like that, and so that provides a level of transparency and visibility for us. But closing and the timing of transactions really isn't reliant necessarily upon just our operations or execution here.
John Massocca : Okay, understood. And then how is the cap rate on ground lease assets acquired in the quarter compared to kind of non-ground lease investments? And I guess if you saw ground leases as a percentage of investments maybe normalized versus historical levels, how much higher, assuming ground leases were a lower cap rate, how much higher could the overall kind of blended cap rate trend?
Joel Agree: So the ground lease assets, interestingly enough, due to the duration in our relationships, the duration of their base term remaining, our relationships we’re buying short-term, long-term ground leases, we obviously did the Kite transaction. They generally speaking, fall within the range of our general acquisition volume.  Now long term ground leases in California can be at the lower end of the acquisition, obviously a spectrum for us in terms of cap rates, and so – but they generally fall within that range. I don't have a percentage for you off the top of my head. But just given the nature and the disparity between some of these assets, it generally is falling within, call it that 5% to 7% range for us, and then we end up generally in the mid 6’s%. There's a second part of that question? Sorry.
John Massocca : No, I think it's kind of irrelevant because they are in the same range, so it makes sense. And then one last kind of bigger picture one; you know there have been some rumblings about kind of increased capital competition in the net lease space from leveraged non-public buyers like those etc. Are you seeing these competitors in the sandboxes in which you tend to play?
Joel Agree: No. I think the ABS backed buyers, the CTL backed buyers, the heavy lever buyers are looking at larger price point transactions, some of the larger sale leasebacks where we're seeing very aggressive cap rates where we haven't participated. I think we just – again, the $4 million to $5 million leverage price point doesn't play itself very well to private equity sponsors or ABS or CTL backed purchasers there. So our competition continues to be Jane Doe and it's a unique competitive set. Given our balance sheet, our team, our capabilities and our technology platform and cost of capital, frankly it's a mismatch.
John Massocca : Okay, that’s it for me. Thank you very much for taking my questions.
A - Joel Agree: Great! Thank you, John.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Joey Agree for any closing remarks.
Joel Agree: Thank you operator and I thank everybody for joining us today, and we look forward to catching up with everybody in June at Virtual Nareit. We'll talk to you soon. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.